Leonard Lee Hung Kuen: Good morning and good evening, ladies and gentlemen. This is Leonard Lee from the ASMPT IR team, and I'll be moderating today's call. On behalf of ASMPT, welcome to our 2025 second quarter investor conference call. Thank you all for your interest and continued support. [Operator Instructions] Before we start, let me go through our disclaimer. Please do note that there may be forward-looking statements about the company's business and finances during this call. Such forward-looking statements could involve known and unknown uncertainties and risks that could cause actual results, performance and events to differ materially from those expressed or implied during this conference call. For reference, the Investor Relations presentation for our recent results is available on our website. On today's call, we have our Group CEO, Mr. Robin Ng; and our Group CFO, Ms. Katie Xu. Robin will cover the group's highlights, outlook and next quarter's performance, while Katie will provide details on the financial performance. With this, let me now hand this over to Robin.
Cher Tat Ng: Thank you, Leonard. Good morning and good evening to everyone today. It is a pleasure to have you all on our earnings conference call for the second quarter and the first half of 2025. Now let's start with the key highlights of the first half. Let me begin by saying that the strong demand continues to be driven by the AI tailwinds across our AP and increasingly the mainstream as well. For the first half of 2025, we achieved better-than-expected bookings, and our revenue guidance for Q3 is above market consensus. The group's Advanced Packaging continued to grow with AP revenue contributing significantly to group revenue in the first half of 2025. This growth was primarily driven by the ongoing demand for Thermo-Compression Bonding or TCB tools. In the first half, the group secured repeat orders for TCB tools in both memory and logic applications, maintaining the largest TCB installed base by surpassing 500 tools worldwide. In the mainstream business, the group is beginning to benefit from AI tailwinds. AI data center demand has driven bookings growth for new power management capabilities. The group also experienced strong booking growth in China driven by electric vehicles and consumer end markets. I'm also pleased to say that we have maintained gross margin above 40% despite foreign exchange headwinds in the first half of 2025. With that overview, let me go into more detail about Advanced Packaging. Our business there is growing, and we remain confident we'll continue to do so. In the first half, our AP business increased its revenue contribution to around 39% of the group's revenue or approximately USD 326 million, driven by strong AI tailwinds. TCB has continued to be the largest AP revenue contributor and remain a key growth driver. Orders in the first half were up 50% year-on-year as we gain further traction with customers, including major AI players. The group's leadership position in TCB across both logic and high-bandwidth memory, or HBM, supply chains continued to strengthen, supported by the expansion of our AP customer base. During the first half, the group secured TCB orders from various HBM players, further reinforcing our leadership position in this market. The group successfully installed the bulk order of TCB tools for the leading HBM customer, fully meeting their high- volume manufacturing requirements for HBM3E 12-high. These tools have demonstrated outstanding performance, delivering industry-leading production yields and exceptional interconnect quality. Additionally, another key HBM customer began low-volume manufacturing for HBM4 12-high with our TCB. In the HBM4 market and beyond, the group continues to maintain its technological advantage due to its active oxide removal or AOR technology. These innovative capabilities enable us to support customers as they transition to next-generation HBM and beyond. AOR is a key differentiator facilitating the demanding requirements of HBM4 and beyond. This includes higher input/output connections, more challenging die bump layouts with finer bump pitches, thinner dies and a higher number of die stacks. Promisingly, the group is currently engaged in HBM4 AOR sampling builds for multiple customers. Turning now to chip-to-substrate or C2S TCB. The group secured additional orders in the first half of 2025 for C2S solutions at the leading foundry's OSAT partner. The group also delivered several high-volume shipments of these TCB tools in the first half of 2025, serving as the sole supplier of chip-to-substrate. Meanwhile, our joint development of ultrafine pitch chip-to-wafer or C2W logic applications for next-generation AOR TCB with the leading foundry is progressing from pilot production to volume production. Moving on to hybrid bonding. The group expects hybrid bonding to coexist with other packaging technologies, and its adoption will be gradual. We continue to see progress with both first- and second-generation hybrid bonding tools with various customers actively engaged at different stages of setup, qualification and shipment. Notably, our second-generation hybrid bonding tools feature competitive capabilities in terms of alignment and bonding accuracy, footprint and UPH. As previously announced, we expect to ship this second-generation tool to a HBM customer in Q3. In addition, there is also continued collaboration with the leading IDM, a leading research institution and the leading foundry on our tool capabilities. Now turning to photonics and co-optic package (sic) [ co-packaged optics ] or CPO. Rapid AI growth continues to increase data center bandwidth requirements and boost demand for higher-bandwidth optical transceivers and co-optic package, CPO, applications. Our photonic tools are able to package these higher-bandwidth transceivers, especially 800G and above. Due to a clear market leadership, we expect continued order momentum from global transceivers market serving all major AI players. While's the CPO market is still in an early phase, we are actively working closely with leading CPO players around the world. In the first half of 2025, we had a major win with a leading IDM and are well positioned to grow our market share. Finally, the system-in-package or SiP business within AP. SMT won orders in the first half of the year from the leading global high-end smartphone players for radio frequency modules and wearables. In addition, SMT has been gaining traction with its next- generation chip assembly tool in several areas, including AI-related applications, with shipments leading -- to leading foundry and OSAT players. Next, I will turn to our mainstream business. During the first half of 2025, as I mentioned earlier, AI tailwinds are beginning to benefit the group's mainstream business. Demand for AI data centers has driven increased needs for new power management capabilities among all major AI players. AI growth requires more power-efficient data center racks to meet the shift towards 800-volt high-voltage DC power distribution architecture. This has driven increased demand for SEMI wire and die bonders and SMT placement tools. In addition, in the first half, the group achieved a strong half-on-half and year-on-year bookings growth in China. For SMT, the growth was primarily supported by AI and EVs where we continue to be the leading EV player in China. Meanwhile, SEMI saw increased utilization across OSAT providers, serving both consumer and EVM end markets. With that, let me now pass the time over to Katie, who will talk about our group and segment financial performance.
Yifan Xu: Thank you, Robin. Good morning and good evening, everyone. This slide covers the group's key financial metrics for the first half of 2025. The group delivered revenue of USD 837.6 million. SEMI delivered strong revenue growth of 31.7% year-on-year and 6.1% half-on-half, while SMT experienced revenue declines year-on-year and half-on-half. Group's bookings reached USD 912.8 million, which was better than expected, showing 10.5% growth half-on-half and 12.4% growth year-on-year. The group continues to build backlog with 2 quarters of book-to-bill above 1. In the first half, the group's gross margin was 40.3%, up 121 basis points half-on-half but down 65 basis points year-on-year. The half- on-half improvement was primarily due to segment mix, while the year-on-year decline was mainly due to an unfavorable product mix in SMT. The group's operating expenses reduced by 6.3% half-on-half but went up 1% year-on-year. The half-on-half OpEx reduction was due to the group's prudent spending controls and restructuring benefits despite strategic R&D and IT infrastructure investments. The group's operating profit reached HKD 329.3 million, showing 79.5% half-on-half growth but a 12.2% year-on-year decline. The half-on-half improvement was driven by gross margin improvements and OpEx reduction. As a result, adjusted net profit was HKD 218.1 million, up 95.7% half-on-half. Our half-on-half improvements were driven by tax credits from R&D centers in Europe and Asia but partially offset by unfavorable foreign exchange translation from a weakened U.S. dollar despite the group's hedging facilities. Similarly, the year-on-year decline was also due to this unfavorable foreign exchange translation, partially mitigated by favorable tax credits. We have an existing dividend policy of distributing about 50% of the annual profits as dividends. Therefore, for the first half of 2025, with EPS at HKD 0.52, the Board has recommended a dividend of HKD 0.26 per share in line with this policy. Our business remains focused on increasing shareholder value and continually evaluates options to return excess capital to shareholders. Most of the financials on this slide are covered on the previous page. I will not go into the details, but I will touch on revenue by end markets. Computers became the largest contributor to the group's revenue supported by strong growth driven by AI. Automotive is the second largest contributor supported by EV demand in China. The next contributor is communication supported by demand from photonics and high-end smartphones. This is followed by consumer and industrial end markets. Now let me move on to group's Q2 financial results. We delivered revenue at approximately the midpoint of the revenue guidance totaling USD 436.1 million, an increase of 8.9% quarter-on-quarter and 1.8% year-on-year. The quarter-on-quarter improvement was mainly due to growth in SMT, while SEMI remained flat. The group's bookings reached USD 481.6 million, which was better than expected for the second quarter in a row, showing 11.9% growth quarter-on-quarter and 20.2% growth year-on-year. These increases were mainly due to the growth in SMT. Q2 book-to-bill ratio was 1.1 and as I mentioned earlier, has now been above 1 for 2 quarters. In the second quarter, the group's gross margin was 39.7%, down 119 basis points quarter-on-quarter and 30 basis points year-on-year. The quarter-on-quarter decline was mainly due to a decline of 161 basis points in SEMI, while SMT improved by 108 basis points. However, Q2 gross margin would have been above 40% using Q1 2025 foreign exchange rates. The group's operating expenditure was HKD 1.18 billion, indicating a 5.7% quarter-on-quarter increase and a 1.8% year-on-year reduction. This was largely due to strategic R&D and IT infrastructure investments and the foreign exchange impact, although partially mitigated by prudent spending control and restructuring benefits. The group's operating profit reached HKD 169.4 million, showing 5.9% growth quarter-on-quarter and 25.4% year-on-year. Q-on- Q was mainly due to volume effects, while year-on-year improvements were due to OpEx reduction and higher volume effects. As a result, adjusted net profit was HKD 134.9 million, up 62.1% quarter-on-quarter but declined 1.6% year-on-year. The quarter-on- quarter improvements were mainly driven by better operating profit and tax credits mentioned earlier. Moving on to the Semiconductor Solutions segment performance. For the second quarter of 2025, SEMI revenue grew to USD 257.6 million, up 1% quarter-on-quarter and 20.9% year-on-year. This segment contributed about 59% of the group's revenue. TCB tools for the logic and memory solutions were our largest revenue drivers in Q2. Wire bonders and die bonders showed quarter-on-quarter and year-on-year growth. This was supported by shipments to major IDMs focused on AI-related power management applications as well as to China customers, especially OSATs. SEMI bookings were USD 212.5 million, down 4.5% quarter-on-quarter and 4.6% year-on-year. In Q2, both quarter-on-quarter and year-on-year experienced wire bonder and die bonder growth, while TCB orders were down due to uneven AP order flow. SEMI's gross margin of 44.7% for Q2 2025 was down 161 basis points quarter-on-quarter and up 19 basis points year-on-year. The quarter- on-quarter decline was mainly driven by product mix. Lastly, SEMIS's profit was HKD 174 million in Q2 2025, a decline of 25.9% quarter-on-quarter but up 99.8% year-on-year. The quarter-on-quarter decline was mainly due to lower gross margin and higher operating expenses arising from strategic R&D investments. Year-on-year improvement was driven largely by volume effects. Next, on to SMT Solutions segment. SMT delivered revenue of USD 178.5 million in the second quarter of 2025, an increase of 22.6% quarter-on-quarter but a decline of 17.2% year-on-year. The growth was mainly due to stronger revenue in China and AP partially offset by continued softness in overall automotive and industrial end markets. SMT bookings of USD 269.1 million were up 29.4% quarter-on-quarter largely driven by a bulk order to meet the supply chain diversification needs of a leading smartphone and customer as well as order wins in the AI server market. Additionally, SMT's gross margin of 32.5% for the quarter improved by 108 basis points quarter-on-quarter but declined by 311 basis points year-on-year. The quarter-on-quarter improvement was due to higher volume effects partially offset by product mix and foreign exchange impact. Year-on-year decline was largely due to lower volume and product mix. This slide highlights ASMPT management's best estimates of revenue breakdown by end markets for the first half of 2025 compared with the first half of 2024. This highlights our exposure to diverse end markets. The computer end market was the highest contributor to group revenue, accounting for 30%. Strong revenue growth was mainly driven by continued demand for AI-related applications in both memory and logic. The automotive end market was the second highest contributor at 15% supported by EV demand in China. The communication end market contributed 13% to group revenue with demand in photonics and high-end smartphone-related applications continuing to support this end market. The consumer end market contributed 12% of group revenue driven by SEMI mainstream solutions, particularly for China. Lastly, the industrial end market contributed 8% of group revenue, in line with soft market conditions. As you can see from this slide, we are a truly global business, partnering with customers around the world. China registered year- on-year revenue growth, increasing to 36.7% of group revenue. AI demand supported the growth in revenue from Korea to 13.6% and Taiwan to 10.6%. Revenue share from Europe and Americas declined year-on-year mainly due to market softness in SMT, with Europe's share down to 11.4% and Americas to 12.3%. The group maintained a diversified customer base with the top 5 customers accounting for approximately 24.8% of total revenue in the first half of 2025. I will now pass the time back to Robin.
Cher Tat Ng: Thank you, Katie. Looking ahead to Q3 2025, the group expects revenue to be between USD 445 million and USD 505 million, up 10.8% year-on-year and up 8.9% quarter-on-quarter at midpoint, which is above market consensus. We are confident of sustained AP revenue and expect SMT revenue to improve. The group remains confident that AP will continue to grow, benefiting from the strong AI tailwinds and our technological leadership in the market. We reiterate our TCB total addressable market projection of USD 1 billion in 2027 and remain focused on solidifying our TCB market leadership in both memory and logic applications. The group's mainstream business will be supported by momentum in China and opportunities driven by the emerging demand for AI data centers. However, the automotive and industrial end markets will remain soft in the near term. While the group has not experienced negative impact from tariff policies, it acknowledges that uncertainties remain. The group's global presence provides flexibility to navigate any potential impact, and we will continue to monitor the situation closely and adapt as needed. This concludes our second quarter and the first half of 2025 presentation. Thank you, and we are now ready for Q&A. Let me pass the time back to Leonard to facilitate.
Leonard Lee Hung Kuen: Thank you, Robin. We will now proceed with the Q&A section. [Operator Instructions] Donnie, please unmute yourself and go ahead with your question.
Donnie Teng: My first question is as usual, the housekeeping question. I'm wondering if you could kindly give us some color on the booking trend into the third quarter across the different businesses. And secondly is the SMT booking has been recovering strongly in the second quarter. And as you just mentioned, it's a part of reason driven by a leading smartphone vendor's capacity diversification across the world. So just wondering, will this trend continue into the second half driven by the tariff uncertainty or it has been majority happened in the first half already?
Cher Tat Ng: Yes. Thank you, Donnie. I'll take your question. Your first question is on the booking color for Q3. Yes, I think the way we look at Q3 booking, Q-on-Q, for Q3 versus Q2, we think it's going to be slightly down by, say, single-digit percentage. And then on a year-on- year basis, we expect the bookings in Q3 to be up double-digit percentage. So the kind of range we are kind of expecting for bookings in Q3. Now in terms -- if you drill down a little bit more, Q-on-Q decline largely due to SMT because due to the absence of a big order that we have in Q2 SMT. So I think that caused the Q2 SMT booking to come down. But for SEMI, it will be -- in terms of the AI, we continue to be strong. We believe the momentum is there for AI in Q3. So that would drive TCB bookings as well. And as we have said earlier in our MD&A as well, we see emerging also opportunities in terms of AI data center, a bit of AI data center increasing our SEMI mainstream demand as well as SMT placement tools. The SEMI demand will come mostly from the normal die bonders and the wire bonders. I think probably last thing to know about year-on-year group bookings for Q3, we see that the momentum will continue. If you look back, our year-on-year bookings have been on the rise for 6 quarters already. So I think this is something probably worth noting. So I think that will answer your question number one. Now in question number 2, you're asking about SMT booking recovery strong in Q2. Yes, indeed, so we won this bulk order from 2 customers. This is part of our end customer -- we suspect it's part of our -- the ultimate end consumers' diversification, what you call the drive, right, to have manufacturing capacity diversified in outside -- in other parts of Asia. You're asking whether this will repeat in the second half. We don't exactly can tell, but we are hopeful that there will be another order coming in the second half. But even if that happens, it will be not as material as the one that we have got in Q2. So I hope I answered your question, Donnie.
Donnie Teng: Just a quick follow-up. So you mentioned about the SEMI bookings into third quarter should be improving. And you mentioned about die bonder and wire bonder recovery driven by maybe AI-related applications. So I just want to clarify, so for third quarter outlook, is like conventional packaging like die bonder or wire bonder may be growing faster than Advanced Packaging?
Cher Tat Ng: Not really, not really. As I said earlier, the Q3 booking, we see TCB booking should increase Q-on-Q. I don't have the rate of growth, but I would say AP will continue -- the momentum will be there. For the SEMI tools like the die bonder and the wire bonder, yes, indeed, we are seeing growth driven by 2 factors: one is the AI data center because the new power management requirement; and two, also driven by China. We see increasingly the momentum in China mainstream -- for both mainstream SEMI and SMT is on a good track.
Leonard Lee Hung Kuen: Thank you, Donnie. And may I now ask Sunny to unmute yourself.
Sunny Lin: Hi, Leonard. Could you hear me okay?
Cher Tat Ng: Yes, we can hear you. Yes, go ahead.
Leonard Lee Hung Kuen: Yes.
Sunny Lin: So my first question is on TCB. If we could start from HBM. How should we think about maybe in the coming like 12 to 18 months your order opportunities within this big player? Competition seems to be intensifying. And earlier in the year, you mentioned that you would expect maybe a second bulk orders to come through maybe at some point in second half or in early 2026. And so any update there? And how should we think about the competition into 2026?
Cher Tat Ng: Thanks, Sunny, for that one. I'll answer the questions, Sunny. The first part is how do we view the 12 to 18 months order opportunity for HBM. So maybe let me start by probably recapping where we are right now. So in terms of HBM, as you are probably aware, we have shipped already and installed the bulk order that we received last year for a leading HBM player. That is for HBM3E 12-high. That has gone into volume production using our tools. And certainly, we are pleased to announce that we have been performing very well in terms of the tools and definitely meeting customer expectations in terms of our technology, in particular our yield and also our quality of interconnect. So I think that then gives probably confidence that we will continue to garner more shares of the HBM market going forward. Now in particular, we are confident of our next-generation TCB tool technology for HBM, in particularly for HBM4 and beyond. As we have been saying for many quarters right now, we have this AOR technology or active oxide removal technology that can truly differentiate us from our competitors. And I think with the advent of the new AI chip coming into the market, I think HBM4 will be put to use in devices -- HBM4 will be put to use. And since we are the first mover for HBM4, we remain confident that going forward, we will continue to win orders for HBM4 using our tools and in the future also using our AOR technology. So this is how we see the HBM market going forward, Sunny.
Sunny Lin: Also a quick follow-up is earlier, you mentioned Q3 TCB bookings should continue to grow. Is that driven by HBM or logic?
Cher Tat Ng: Both, Sunny. I would say both. In fact, on that note, probably worth to mention that we are also, in the meantime, expanding our customer base as well globally worldwide. So we have TCB tools for both logic and HBM ship on a global basis. So we are spreading out and diversifying our customer base.
Sunny Lin: Got it. My second question is on your TCB engagement with the leading foundry. So could you share a bit more color on the progress that you have moved to volume production? And would you be able to get the bulk orders maybe -- so second half of the year or early 2026 since they should be ramping up the next-generation AI accelerators into second half of 2026? And are you the sole supplier for these maybe AOR type of TCBs for Chip-on-Wafer in 2026?
Cher Tat Ng: Yes. Again, we -- yes, you are right. We have moved from -- I would say, progressed from pilot production to volume production at a leading foundry for this very advanced ultrafine pitch AOR TCB for chip-to-wafer. There is competition. We have a competitor over there. But as far as we are concerned, I think our technology has put us on an advantage, we believe. And in terms of order, we mentioned many times, Sunny, that even we win this particular battle, we have competitor over there, the volume this year for chip-to-wafer would not be material, probably a couple of tools for 2025. But we believe that 2026, that's where the volume production will start for chip-to-wafer tools at the leading foundry. Back to you, Sunny.
Sunny Lin: Got it. So for them to maybe start using your tools for chip-to-wafer, it to support the key accelerated platform upgrade in second half of next year. Should we expect, if that happened, the order should come through maybe by early 2026, the latest?
Cher Tat Ng: Possible. Yes, certainly possible. Definitely, yes.
Leonard Lee Hung Kuen: May I ask Gokul to unmute yourself, please.
Gokul Hariharan: My first question is on HBM for TCB. Could you talk a little bit about HBM4? What are you hearing from your customers? Are they basically going to fluxless TCB for HBM4 across the board using your AOR or other kind of fluxless technologies? Or can they still reuse the existing flux-based older TCB tools, of which they have a pretty large installed base off? And HBM3E, especially at your lead customer, looks like very competitive right now. There are 3 vendors. Do you think that HBM4 also is going to be like that, or you think the vendor list will narrow when it comes to HBM4?
Cher Tat Ng: Thanks, Gokul, I'll take the question. I would say not across the board. It depends on the customer. One customer is still doing a lot of experiment using or not using AOR, and other customers have definitely started using our tool for sampling build for using AOR. So as far as we are concerned, as I said earlier, we are the first mover in terms of HBM4. So we are well positioned to capture the market for HBM4 when that takes off. And we believe HBM4 will probably come around sometime in the second half of 2025, in line with the launch of the new AI chip architecture. Now I think your second question is about HBM3E, with lead customer, with business competitors, HBM4 and HBM vendors will be narrow. I think all major players, let me answer from the customer -- try to answer you from a customer perspective, the way we see it. I think all major HBM players will have to move to HBM4 to support the new AI architecture. One of them are probably a little bit ahead in terms of HBM4 deployment. As I said, we are doing something build for all customers actually, 2 of them we have made shipment. I think the other leading HBM player, we're also engaging them in terms of sample build using the vehicles for outside. So we have a lot of engagement with all these HBM players.
Gokul Hariharan: Just to follow-up, Robin, just to clarify this. So when it comes to HBM4 12-high, which is probably the one that's going into production early next year. You think most of your customers, especially the lead customer will have to use AOR or fluxless TCB or they can still stick with the older TCB machines?
Cher Tat Ng: They will try to use the -- they will not try to transition to a newness if they can. But the way we see -- once they start to move into HBM4E, where the chip architecture gets a little bit more challenging, we strongly believe that the AOR will be the technology that we have to employ.
Gokul Hariharan: Understood. So that's more 4E than 4, okay. That's clear. Just on the logic side for TCB, could you talk a little bit about your chip-to-substrate shipment run rate? It's been very strong since second half last year and early part of this year. Do you think it grows into next year? Or given the CoWoS capacity expansion is kind of decelerating we should see a little bit of slowdown in the chip-to-substrate growth next year. And is C2W, chip-to-wafer big enough to kind of offset that next year so that your logic TCB growth can still continue at a pretty good clip even if chip-to-substrate kind of slows down?
Cher Tat Ng: Yes. On the chip-to-substrate, the way we look at it is the die and the compound die are getting bigger and bigger. In fact, there's really no way using TCB to package the compound on the substrate. I think as we speak, our customer base are already thinking of new tools, new tool architecture to handle larger and larger die. So we are already in a lot of engagement with all this customer base to come up with new tools that can handle larger compound die. So I think this trend, this is a multiyear trend will continue as far as -- as long as data center continue to have this massive buildup into the future. Now in terms of C2W, your question is whether it's big enough to offset logic TCB growth even as chip-to-substrate slows? I'm not sure whether chip-to-substrate was slow, as I said, we'll continue, in fact, the trend will continue. So let me answer the other part, whether chip-to-wafer is big enough? I think, as I said earlier, I answered the question posed by Sunny, chip-to-wafer TCB tools, I think the demand will pick up in 2026. Because right now, the POR is still mass flow, but we believe increasingly even at chip- to-wafer level, TCB is needed to package all the various die including HBM, as far as logic die, passive die onto the wafer going forward. Gokul, back to you.
Gokul Hariharan: Yes. So just to then -- so then we are expecting that logic TCB, C2W combined everything is still going to be growing next year based on the order flow that you've got, because the order flow seems to be a little bit up and down. I think you had a decline in TCB last quarter. This quarter is kind of growing. So I just wanted to understand how about logic TCB next year?
Cher Tat Ng: Yes, yes. I think, Gokul, remember, we came out with kind of a TAM picture for TCB. So the TAM will continue to grow from now to 2027, and we're still confident that by the time we hit 2027, the TAM will be $1 billion for TCB.
Gokul Hariharan: Got it. Understood. Maybe one last follow-up for Katie. I think, could you talk a little bit about the margin leverage from increase in advanced packaging? Because when I look at SEMI's margins, margins are kind of largely still in the same mid-40s kind of ballpark, even though our advanced packaging mix has risen almost to 40% in first half of the year. It looks like Q2 should be even higher than that, even though you don't break it out. But we don't seem to be getting that margin uptick on gross margin or operating margin level in a meaningful sense when it looks -- when I look at the semiconductor solutions business. Is there anything that we should look at it? Or is there any turning point where we could kind of see that we hit that meaningful gross margin leverage or operating margin leverage happening from this mix improvement?
Yifan Xu: Yes. So Gokul, I think there are couple of layers to the question. First, maybe just a little bit color on Q2. So for SEMI Q2 gross margin, the mix actually was relatively more favorable towards the mainstream products. Comparing to Q1, which you probably remember, where we delivered a bulk TCB order, right, so the Q1 margin was very much supported by the bulk order for AP. Now going forward -- also kind of going forward, like we've mentioned before, TCB margin is accretive, and we do expect that looking out to future quarters that the margin expansion for SEMI will be there. But again, like we always say, right, each quarter really depends on the product mix, volume, et cetera. But in the long run for SEMI, yes, definitely, we do expect that the margin will expand gradually because of the TCB/AP content.
Leonard Lee Hung Kuen: May I now ask Daisy to unmute yourself, please?
Daisy Dai: I got one question regarding the new power management capability. As you mentioned that AI data center demand has begun to benefit the group's mainstream business driven by the increase in need for new power management capabilities. So could you elaborate more what other semiconductor components in these power management? Is it power discrete or it's components like PMIC?
Cher Tat Ng: Yes, I think it's a varied range of devices of our components that are needed in the AI data center, right? That's why we see that it's driving demand for mainstream tools, for example, wire bond, die bond, molding equipment, for example, sintering equipment. So we see this trend happening in the last 2 quarters, Daisy.
Daisy Dai: Okay. So do you think that this trend will benefit all the vendors or because of ASMPT's leadership technology, it will benefit ASMPT more versus your competitors?
Cher Tat Ng: I think these are pretty standard tools. I think it's a more -- putting more capacity buy than technology buy. Certainly more towards capacity buy than capability buy in our opinion, yes.
Daisy Dai: Robin, it's clear. And another question is for Katie. And you mentioned that Q2 you benefit from the tax credit. Do you think that this is sustainable? Or it's just a one-off in Q2?
Yifan Xu: Yes. Daisy, so the short answer is, this is a one-off tax credit. We have R&D centers in certain jurisdictions where we have tax credits. And usually, actually, tax credits will flow through the P&L, you probably won't even notice that every quarter. But for these 2 specific locations, due to the local practices, the tax credits could only benefit P&L after they file the statutory -- audited statutory reports. So for these 2 locations, the 2024 audited statutory reports were filed in Q2 this year, and that's why it came through into the Q2 financials. I do not expect them to repeat next quarter, for sure.
Leonard Lee Hung Kuen: And I may now ask Leping to unmute yourself and ask your question.
Leping Huang: So here are 2 questions. My first question is about the SMT business. So you mentioned that the order win in the AIS server market. So recently, we also see some PCB vendors are ramping up their capacity for the server PCB. Does these 2 things related? And can you comment on where are the CapEx cycle of the PCB's capacity expansion for the server market? And what are the market positioning of your SMT equipment in this market?
Cher Tat Ng: Yes. Leping, let me take the question. I think they should be related. Of course, without understanding more -- where they're coming from, but I think it sounds that they're related. And in terms of CapEx cycle, as far as the AI center continue to build up, I think this could be the trend going forward. So in terms of SMT positioning, I know we are pretty strong in this particular area because of our technology. So we're quite pleased that we are capturing this part of the market share.
Leping Huang: The second question is, I noticed that your computer this quarter are quite impressive, account for more than 30% of the total sales. Can you share some color about the breakdown of this computer? How much is currently roughly coming from the SMT, and how -- it's quite big. And how sustainable do you expect this computer will continue to account for this such high or the 30% market of your total sales looking forward in the second half?
Yifan Xu: Leping, thanks for noticing that the 30%, it is very high for the first half of revenue. But I just want to call it out that I just mentioned a few minutes ago that in Q1 we had a bulk order for TCB, right? So actually, that actually has supported the computer percentage going up. But your question, I think, specifically on SMT, we do not breakdown the end market by the specific segments of ours. But overall, like what Robin mentioned, the SMT side is benefiting from the overall AI server trend, and we have a very strong position in that specific sector.
Leonard Lee Hung Kuen: May I now ask Alex to unmute yourself and ask your questions, please?
Alex Chang: So just a little confused about your TCB order trend. So in your PPT you mentioned in second quarter, TCB decline, I mean, the bookings -- TCB declined quarter-over-quarter and Y-o-Y. However, you also mentioned that HBM TCB order has been solid and you received the various HBM players, and we have seen your revenue contribution from Korea jumped to 14% in the second quarter. So does this mean that the large application -- in the large application TCB order has been relatively weak. We need to wait -- we need to wait for the C2W application to introduce. So before that we won't see any meaningful rebound for TCB for logic applications.
Cher Tat Ng: Yes. Alex, let me try to make it clearer for you now. I think, first and foremost, for TCB market driven by AI, I think it's the nature of the business, right? So the customer base in the first place are not very big, although we have been expanding our customer base. We are talking about 20 to 30 customers, compared to, say, on the SEMI side or SMT side. We're talking about hundreds customers. So you can imagine with that kind of skill at the mainstream side versus the AP side, the order flow for AP and TCB will be uneven quarter-to-quarter. So -- but of course, it takes a longer period, 6 months, 1 year, you can see a better trend. So don't bring into too much -- my suggestion, don't read too much into quarter-to-quarter variation in terms of order flow for AP. Now we're talking about whether logic is way need to wafer to come back. Again, it's also related to the fact that the nature of the business. I mean, we don't -- you can expect the same customer to continue to place top order quarter-after-quarter, quarter-on-quarter, that's not possible. So I think in terms of the logic side, chip-to-substrate, I mentioned, I think one of the questions earlier either by Gokul or somebody else, that we're in a very strong position. We continue to engage our customers in the future generation of the component for chip-to- substrate. And you're right, the chip-to-wafer were coming in a bigger way in 2026. So that will help to add to the order flow level comes to 2026.
Yifan Xu: Alex, also this is Katie. I just want to clarify one thing. You were asking about booking, which Robin answered, but then also you were kind of observing from the geographic location of Korea, right? That's actually on revenue. So I just want to make sure that, again, the Korea jumped really in the first half is because of that bulk order that we were referring to earlier. So just be mindful when you look at the order and revenue for AP or those TCB orders, there is a longer lead time, typically 6 to 9 months. So if you're trying to figure out the timing of those quarterly or yearly timing from booking to revenue, please keep that in mind as well.
Alex Chang: Yes. Understood. I'm just wondering, probably the HBM order, you obtained like 1 or 2 courses go deliver this quarter. So I mean, for the past 2 quarters, logic applications, TCB order was quite weak compared with HBM application, okay. So my follow-up question is about your market share for the HBM customers. Can you give some -- probably some color on like your market share with your largest HBM customers or you're targeting market share in the next 1 to 2 years? And also, have you shipped the HBM application TCB for Chinese customers?
Cher Tat Ng: Yes. Alex, in terms of market share, first of all HBM. If you have been following us for a while, we acknowledge that we are not the first mover in terms of HBM. Considering where we come from, from 0 base to where we are today, I think we have made a huge improvement in terms of market share for the HBM market. And we are confident that with the advent of HBM4 then going forward, we certainly have a differentiating technology compared to our competitors. I think that will provide us in a good state to continue to kind of demand in the particular space. Now I can't comment in any particular region for TCB customers, but certainly, we have been stressing our AP solution or TCB solution, we have a worldwide customer base.
Leonard Lee Hung Kuen: I now ask [ Catherine ] to mute yourself and ask your question, please?
Unidentified Analyst: My first question is regarding the hybrid bonding. How do you see yourself the key differentiator between your hybrid bonding tools and the leading -- and the other peers hybrid bonding tools? And how do you think about your market share in the hybrid bonding market?
Cher Tat Ng: For hybrid bonding, we have been saying our LBG2, our generation 2 hybrid bond, which is going to be shipped sometime -- the first 2 is going to be shipped sometime in Q3, it will be very competitive. We have taken all the pain points for hybrid bonding over the years, do a lot of channel checking with our customer what are the pain points. So we are addressing those pain points one by one. And we believe our Gen 2 machine tool for hybrid bonding will be a very competitive one. So we are confident that going forward -- if high-bonding picks up in terms of demand, we are ready to play in a more active way in the particular market for hybrid bonding. Now so as I said, in terms of features, we're very competitive whether in terms of bonding accuracy, in terms of UPH, in terms of footprint and more importantly, in terms of total cost of ownership, I think our Gen 2 is a very competitive tool.
Unidentified Analyst: Got it. And my second question is regarding your China revenue. So congratulations on your China revenue pick up. Just with the China localization accelerating, are you seeing any shift in the customer preference? And how is your pricing and margin profile in China evolving versus other regions?
Cher Tat Ng: Your first question is for localization, accelerating. Yes, certainly, I think that's a trend. A lot of localization happening in China as well. So the volume in China will -- we have seen, as I said, the momentum in China is very good. In the recent quarters we see the demand coming more and more from the consumer market. It seems that the consumer market are starting to pick up. The EV market in China as well, that's also benefiting both our SEMI as well as SMT mainstream. The Chinese market is obviously very, very competitive. But what is really interesting for the Chinese market is the volume, right? So we all know the semiconductor market is also highly dependent on China for the volume. So the Chinese market will give us a volume more than anything else. Back to you, Catherine.
Unidentified Analyst: Yes. So a little bit of a follow-up on that. So how do you think about the pricing and margin of your China revenue compared with other regions? And do you think that this pickup in China market is a one-off event? Or will it continue probably to the next few quarters?
Cher Tat Ng: Sometimes it's not exactly comparable depending on the configuration that you want, right? So depending on the application as well, say, for example, smartphone requirement is totally different for automotive. So the pricing does vary from more of the application end market rather than the regional pricing from one region to another region. So it all depends on -- also on the application end market. Now whether it is sustainable -- is this pickup sustainable? We certainly hope so. We did a lot of channel checking with customer base. They seem to be more optimistic than before. And also looking at the utilization rate across the factories, that seems -- the momentum seems to be there, inching up, picking up in terms of utilization rate. So I think that's a good sign. Consumption of lead frame seems to be on the rise as well, that's also a good sign that the factories are working. They're really working. The utilization is up in China. So I think that helps to give us a little bit more confidence that this time around the momentum in China may be sustainable, yes.
Leonard Lee Hung Kuen: I may now ask Simon to unmute yourself.
Dong-je Woo: Robin, yes, today, again, the overall guidance for the AP broadly optimistic, but the -- I want to double check why you think they are the near-term model still volatile or the -- I mean, the TCB because foundry based on the long-term agreement with the U.S. permanent customers, HBM memory also is more annual contract basis. And why you think the -- your customers, the TCB order, some quarter very strong, the other quarters, some sequential decline. Do you see any signs for a little bit -- downwards trend of the AI theme? Or what you think the background of the older uneven spend here?
Cher Tat Ng: Yes, Simon, I tried to explain. I think as someone asked earlier question as well. I tried to explain when we mentioned uneven order flow, it's a matter of timing, right? So if you break up by quarter, bound to have volatility, you use the word volatility, so I'm using the same word. We use uneven order flow bound to have from quarter-to-quarter. But if you take a longer -- 1 year versus another year, if you look at first half of 2025, we mentioned our AP or TCB have grown half-on-half year-on-year. So on a half yearly basis, on a longer-term basis, you can see a better trend. On a quarterly basis because of the nature of the business, as I mentioned earlier, if we talk about AI customer we're going to talk about 20 to 30 in the world right now, right? You compared SMT mainstream with SEMI, we have hundreds of customers. So you see the scale is totally different. So far by nature of the business, there will be uneven order flow from quarter-to-quarter. So don't look at quarter-to-quarter to determine trend, look at a longer period to determine trend.
Dong-je Woo: Of course, yes, that's why your TAM guidance has not really changed. But maybe opposite way, for example, if I make HBM -- if I run the HBM memory business or even CoWoS packaging business and then the equipment vendors leading time 6 to 9 months. So I think your customers should worry about 6 to 9 months or sometimes 1 year in the equipment delivery time. But how the ASMPT can respond to the unexpected rush order if your manufacturing cycle time becomes more like 3 quarters?
Cher Tat Ng: Yes. I think, first of all, once we are trying to tap down internally, we will make it more efficient in terms of cutting down our lead time for sure. We are working hard on that so that we can respond faster to our customer requirement. And secondly, the other way to mitigate some of this issue is really to have buffer stock. So because of our deep engagement, all these customer, we roughly know where the demand road map is. So we can build buffer stock just in case they won the machine very fast, we are able to supply in a very quick time, but limited quantities, right? So there's always this balance field. So this is how we communicate the situation.
Dong-je Woo: Yes. Very clear. And then very quickly, we are very impressed on the AP, the advanced packaging revenue contribution. So first half, 39% last year, 30%, that automatically implies more than 30% growth in AP. But the question is such strong growth is a more HBM memory driven or loaded or half and half? Any rough idea of the contribution mix?
Cher Tat Ng: Yes. So Simon, I think first, when we talk about AP, it's actually more than TCB because we have a full range of AP tools, including TCB, although TCB is the major revenue contributor, okay? Now within TCB itself, I think going in the longer term, I mentioned before as well, if you look at our TAM, how we arrive at our TAM of 1B in the longer term, HBM, in terms of ranking, in terms of the demand for TCB tools by application, HBM will be the largest followed by chip-to-wafer tools and then followed by chip-to-substrate tools. This trend will play out in the long run, not now. But in the meantime HBM is still the #1 in our opinion followed by chip-to- substrate on our case.
Dong-je Woo: One thing, maybe some investors e-mailed me, the 500 units so far, would you specify the time, but since when this -- until second quarter this year on Page 6, your slide, 500 unit equipment?
Cher Tat Ng: We have been submitting this information since 2012, I think. Yes, 2012, we announced.
Dong-je Woo: 2012 up to second quarter this year?
Yifan Xu: That's correct. That's correct.
Dong-je Woo: Okay. All right. Last thing. TCB Declined quarter-on-quarter, sorry for the very short-term question, but is it more HBM memory related to the near-term trend, right? TCB declined quarter-on-quarter, I mean, the bookings declined quarter-on-quarter, that's more HBM memory related rather than a logic, right?
Cher Tat Ng: Last few years, yes.
Leonard Lee Hung Kuen: With that, we now conclude our Q&A session. Before we close the call, I'd like to ask Robin to say a few words.
Cher Tat Ng: Thank you, Leonard. Thank you all for your questions and really allow me to quickly highlight some of the key takeaways from today's call. So the first -- I think, first, strong demand continuously driven by AI tailwinds across AP and increasingly in our mainstream solution as well. For the first half of 2025, we had better-than-expected bookings, something that's probably well -- taking away as well. AP continued to grow with AP revenue contributing significantly to group revenue in the first half of 2025. This growth was primarily driven by ongoing demand for TCB tools. In the mainstream business, the group is beginning to benefit from AI tailwinds. AI data center demand has driven bookings growth on new power management capabilities and we also experienced booking growth in China. Finally, we maintained gross margin above 40% despite foreign exchange headwinds in the first half of 2025. With that, this concludes the call. I'll see you all in the next quarter. Thank you very much and take care.